Operator: Welcome to the PCTEL Third Quarter 2022 Earnings Release Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. I will now turn the call over to Kevin McGowan, the Company’s CFO.
Kevin McGowan: Thank you for joining us on today’s conference call to discuss PCTEL’s third quarter 2022 financial results. With me today is David Neumann, the company’s CEO. Please note that a webcast replay will be available on our website. Before we begin, let me remind you that this call may contain forward-looking statements and projections based upon current circumstances. While these forward-looking statements and projections reflect PCTEL’s best current judgment, they are subject to risks and uncertainties, particularly related to the COVID-19 pandemic, global supply chain and logistics challenges, global, political and economic circumstances, including a potential recession, and opportunities to expand our distribution channels that could cause actual results to differ materially from these forward-looking statements and projections. Risk factors that could cause PCTEL’s actual results to differ materially from its projections are discussed in the earnings press release, which was issued today, and the company’s annual report on Form 10-K. The company assumes no obligation to update any forward-looking statements or information, which speak as of the respective dates. Additionally, our commentary will include reference to the following non-GAAP measures, non-GAAP gross margin percentage, non-GAAP operating expense, non-GAAP earnings per share and adjusted EBITDA. We believe these non-GAAP measures facilitate comparability of results over different periods. A full reconciliation of these non-GAAP measures to GAAP is included in our quarterly earnings press release that was issued earlier today. I’m now pleased to turn the call over to David Neumann.
David Neumann: Thank you, Kevin. Good afternoon, and thank you all for joining us. In today’s call, we will provide an overview of the third quarter performance and discuss our outlook for the upcoming fourth quarter. We will also share our high-level views of fiscal 2023, highlight the progress we’re making on our growth strategies and review significant accomplishments in both product lines. I’ll start with a few highlights for the quarter, and then Kevin will walk us through the financials. Overall, we’re very pleased with our team’s performance this past quarter as we delivered $26 million in revenue for Q3, which was a 16% increase year-over-year and a 4% increase sequentially. The company has steadily grown revenue year-over-year over the past 7 consecutive quarters, driven by strong execution, innovative product releases and customer demand. Non-GAAP earnings per share was $0.14 compared to $0.08 in the third quarter 2021. Non-GAAP gross margin was 46.2% due to strong scanning receiver sales. I’m proud of the entire PCTEL team as we’ve delivered high service levels to meet our customers’ needs while simultaneously navigating a challenging operating environment, highlighted by significant inflationary pressures and supply chain disruptions throughout 2022. While these supply chain and logistics challenges remain, we saw an encouraging improvement in transit times and costs in the period. Our long-term material and logistics planning conducted in close coordination with our customers, enabled us to achieve measurable improvement in our shipping costs, which contributed to higher antenna gross margins in Q3. The company’s on-time delivery metrics remain strong, and we continue to receive excellent supply ratings from our customers. Our focus on 3 core strategies has supported this positive performance. As a reminder, these include launching innovative wireless products, expanding and leveraging our distribution channels and increasing market share by providing more components over the overall system. As we look towards the future, our talented and experienced antenna and Test and Measurement engineering teams continue to develop innovative products to meet the ever-evolving demand for wireless solutions. Our recent innovations include new multi-mode antennas and uplink measurement systems for public safety wireless networks. With that, I will now turn the call over to Kevin for a closer look at our third quarter performance and a discussion of the financials. Kevin?
Kevin McGowan: Thank you, David. Total revenues were $26 million at the midpoint of our guidance range and were approximately 16% higher in the third quarter 2022 compared to the third quarter 2021, primarily due to higher volumes in both of our product lines. Revenues for antennas and Industrial IoT devices were $18.7 million in the period, an increase of $2 million compared to the third quarter 2021, driven by strong sales in our agriculture and utilities end markets. Test and Measurement revenues were $7.7 million for the third quarter 2022, $1.8 million higher compared to the third quarter 2021, primarily due to stronger sales for 5G products through OEM customers. Of note, this was the highest quarterly revenue for Test and Measurement products in the pre-pandemic period. Third quarter 2022 gross profit margin on a non-GAAP basis was 46.2%, above our expectations. However, it was 50 basis points lower than the year ago period. The decrease in the gross profit margin was primarily due to lower gross margin performance within our Test and Measurement products. Non-GAAP gross profit margin for antennas and Industrial IoT devices in the third quarter 2022 improved by 3.1% sequentially and by 0.6% compared to the third quarter 2021, primarily due to the favorable impact of lower freight costs, resulting from the team’s proactive mitigating actions, as previously mentioned, and operating leverage. The non-GAAP gross profit margin for Test and Measurement products was lower by 6.4% in the third quarter 2022 compared to the third quarter 2021 due to product mix and higher component costs. Operating expenses on a non-GAAP basis were $9.4 million in the third quarter 2022, an increase of $0.5 million compared to the third quarter 2021 and $0.3 million lower sequentially. The year-over-year increase primarily resulted from higher incentive compensation expenses and costs related to the return of business travel. Other income was positive $0.2 million in the third quarter 2022 due to interest income on investments and foreign exchange gains. Adjusted EBITDA increased by 41% to $3.3 million in the third quarter 2022 compared to $2.3 million in the year ago period. Adjusted EBITDA as a percentage of revenue was 13% in the third quarter 2022 compared to 10% in the third quarter of 2021. And non-GAAP diluted earnings per share was $0.14 in the third quarter of 2022, higher by $0.06 compared to the third quarter 2021. The increase in EBITDA can be attributed to improved margins for antennas and mix favoring the strong Test and Measurement revenue for the quarter. Cash and investments were $28 million at the end of the third quarter 2022. Compared to the end of the second quarter, our cash and investments decreased by approximately $0.3 million. Payment of our quarterly dividend of $1 million was approximately equal to our free cash flow. Our use of working capital during the third quarter reflects an increase in inventories. Inventories were higher because we made some strategic decisions to increase our inventories to keep PCTEL in front of supply chain constraints and also because of temporary delays with certain antenna customer orders due to their supply chain constraints with chipsets. Our cash and investments on hand and free cash flow supports our capital allocation strategy of paying quarterly cash dividends and having available funds for M&A activities. Turning to our fourth quarter outlook. We expect to achieve revenues in the range of $25.5 million to $26.5 million. The fourth quarter 2022 revenue guidance at the mid-point of the range is approximately the same as the fourth quarter 2021 and as the third quarter 2022. Based on our anticipated product mix, we expect our non-GAAP gross profit margin percentage to begin in the range of 47% to 49%, and we expect our non-GAAP earnings per share to be in the range of $0.14 to $0.16. Teams are executing well, and we’re pleased with the company’s performance to date. We continue to see opportunities for our products in the markets we serve, although the risks of a global macroeconomic slowdown in 2023 is increasing, caused by the persistent inflationary environment, supply chain constraints and the conflict in Europe. Although our supply chain team has done a good job ensuring we can obtain parts to produce our products, there’s still uncertainty for our antennas given the continuing supply chain challenges for chipsets. Even with the global economic challenges, we are forecasting modest organic growth in 2023, potentially complemented by M&A activity. With that, I will now turn the call back to David.
David Neumann: Thank you, Kevin. Now I’d like to provide an update on how we are progressing against our 3 growth strategies which we mentioned earlier, including launching innovative wireless products; expanding and leveraging distribution channels; and increasing market share by providing more components of the overall systems. In terms of our first growth strategy of launching innovative products, our product suite presently includes wireless IoT devices, antennas and RF Test and mMasurement equipment used across a variety of wireless technologies, including 5G, Wi-Fi 6E, P25, LoRA and others. Our wireless IoT devices include ruggedized access points, IoT radio modules for remote devices and integrated wireless sensors. I’m pleased to report that we received FCC approval for our IoT radio modules, which are currently in several trials with customers who are planning to go to market with our solution in 2023. The access point product is now being promoted through one of our largest online distributors and the radio module will be available to our distributors in the fourth quarter. Our access points and radio modules are well suited for precision agriculture, heavy machinery and other applications. With respect to antennas, we see continued strength in rail, agriculture, utilities, logistics and vehicular markets, including antennas for electric vehicles and EV charging stations. The global market for EV charging stations has the potential to grow significantly over the next 3 to 5 years. Also in the vehicular space, we announced the availability of our new MultiFin configurable antenna for public safety, mass transit, telematics, infotainment systems and fleet management applications. The MultiFin 7-in-1 antenna maintains PCTEL’s high RF performance standards in a flexible, discrete, rugged, low-profile shark fin design. And this antenna allows a simultaneous operation of customers’ existing radio networks. We expect deliveries of the new MultiFin antenna to begin by the end of this year. On our last call, we discussed our Gflex scanning receiver that is used by 5G wireless operators and government agencies to test our performance. The Gflex scanning receiver was designed specifically to meet the 3GPP specification and demands of multi-carrier 5G network testing for wireless operators globally. We believe there will be growth for this platform to support increasing adoption of 5G in private and government applications in 2023 and beyond. Additionally, on August 1st, we launched our SeeHawk monitor for automated critical communication testing of public safety networks. This system provides automated spectrum monitoring to quickly identify interference and other issues that impact the reliability of in-building wireless coverage. The uplink path, which is a link from the handset to the tower is more vulnerable to interference. The SeeHawk monitor collects uplink signal strength to complement downlink data in order to test the entire communication path. This data helps building owners identify RF transmission problems and enhances the reliability of in-building critical communication networks. Trials continue, and we expect initial orders starting in the fourth quarter. Additionally, last week, we were pleased to announce an updated release of our automated cloud-based platform, SeeHawk Central, which streamlines the testing of public safety networks. This product will become increasingly essential as more states adopt mandatory indoor communication coverage standards to support first responders. Moving to our second growth strategy. We continue to make solid progress in expanding and leveraging our global sales channels. We have also remained diligent in making strategic investments to grow our European business. Along those lines, we hired a senior manager for distribution in Europe, and are onboarding our first large European stocking distributor. Additionally, we recently completed a 2-day customer event in Stockholm to share our European strategy and learn more about how our products are used. That event was well received and our customers, value-added resellers and distributors appreciated learning more about our product lines. We identified, and are negotiating contracts with 3 other international distributors to complement those in the U.S. and Europe. Areas of strength in end markets include multiple design wins with international electric vehicle manufacturers that will generate revenue later in 2023. We believe growing EV markets provide an opportunity for both supplying antennas for the vehicles and for the charging stations. We also saw strong sales in agriculture and utilities and new embedded antenna opportunities. We expect that our channel partners will drive long-term growth in these markets through their wider customer reach. Our third growth strategy is to increase market share with existing customers by providing integrated solutions. As the Industrial IoT market expands, there will be greater need for turnkey integrated solutions and embedded antennas. We continue to integrate IoT sensors and other active electronics within our antenna portfolios to address specific markets. We also see opportunities to provide more integrated embedded antennas for industrial and utility applications like smart metering. We are supporting multiple trials and interest from strategic value-added resellers for our embedded antennas, integrated radios, sensors and electronics to provide turnkey solutions to increase their customers’ productivity and simplify deployments. These 3 growth strategies of launching innovative wireless products, expanding and leveraging distribution channels and increasing market share by providing more components of the solutions have proven to be our foundation for driving growth within the company. We remain focused on executing these growth strategies to increase value for all stakeholders. Before we take questions, I would like to share a few closing thoughts. While 2023 may pose new risks resulting from the potential of a global recession, I have confidence that our team will address these risks as they have addressed challenges presented by the pandemic, geopolitical instability and supply chain issues, with hard work and dedication. We are confident that our core strategies of developing innovative and high-quality products, expanding our distribution channels and increasing market share by providing more components over the overall systems are the right strategies even in a challenging economic environment. With that, Kevin and I are available to take questions. Operator?
Operator: [Operator Instructions] Your first question for today is coming from Jaeson Schmidt.
Jaeson Schmidt: I want to start with some of your comments in the prepared remarks regarding some delays in orders from some antenna customers. Any additional color you can provide? Is this kind of 1 or 2? Are you seeing sort of a softening across the customer base just given the macro? And I guess, relatedly, would we infer then that the antenna business might be down sequentially in Q4?
David Neumann: Yes, I can talk to the supply chain challenges, Jaeson, and Kevin can talk about the Q4. So for our products, I think our supply chain team has done an excellent job making sure that we can build the antennas, the IoT devices. Of course, with -- our antennas were a component of a larger system. So we are -- it’s conditional on the customers having the rest of their systems -- and I think Kevin mentioned this in the remarks with chipsets and-- So we’re seeing, in some cases, some slowdown where we have product that we could ship, but the customer simply isn’t ready for the antennas or the devices because they have other supply chain challenges on their own. Going forward without speaking specifically to Q4, but I do think customers, in general, are carrying a little bit more inventory than perhaps they like. We’re carrying more inventory, too. We think it’s a good use of cash to make sure we have products that we can ship to customers. But as -- I think it’s going to take some time to work through this inventory with customers and that will impact some of our antenna sales. We’ve talked about a record backlog in the previous quarters. We’re -- not necessarily a record backlog. We still have healthy backlog, but we’re starting to work through that. And I think the industry as a whole will have to work through some of these inventory issues as conditions improve.
Kevin McGowan: And Jaeson, I guess, specifically with Q4, not going into too much detail, but we will likely see a mix with lower antennas in Q4 compared to prior year and sequentially, but being made for offsetting with the Test and Measurement.
Jaeson Schmidt: And then just following up on that. I mean, a really nice step-up in gross margin, which, I mean, obviously, is being driven by mix. Looking forward, I mean, how should we think about gross margin in general? I mean, is this a situation where within the antenna business -- acknowledging the dynamics and the supply chain right now, but how should we build on gross margin in 2023, trying to take into account all the varying crosswinds?
Kevin McGowan: Yes. I think with antennas, we did see a nice improvement in Q3, and we feel we can sustain that, maybe even do a little bit better based on -- with the freight, easing of freight cost is one of the biggest drivers, and also with potentially some uplift on price and also with cost, with exchange rates in China working to our benefit currently. So we feel pretty good about antenna margins. Test and Measurement, that’s always a mix issue. We will see potentially some pressure from some of the costs that we’ve had to incur on buying some of the components with the supply chain situation. We view that as temporary, but there could be some slight degradation compared to some stronger margins that we saw last year and earlier this year.
Jaeson Schmidt: And then just last one for me, and I’ll jump back into queue. That SeeHawk product line for the public safety market, how has customer response been so far?
David Neumann: So public safety is really being driven, I would say, on a state-by-state basis. And for those states that have implemented the codes, that demand the testing we’ve seen, very good business. We’re not -- it’s not national at this point. But I would guess that we’re probably about 25%. The states have some public safety initiative. And what we’re learning is, for those states, we initially did the tools for the downlink testing and building. And of course, once you have the products and you’re working with the customers, you come across other challenges that they have. The one challenge, you test a building, a city will have hundreds or maybe 1,000 buildings that they need to test, how do you manage all that data. And that’s really what drove SeeHawk Central. So the centralized online system where engineers can upload tests, the municipalities or the government entities can download the test and verify that the buildings passed before they issue the occupancy permits. And then along the same lines in working with our customers, they said, okay, this is great, we understand the downlink, but in many situations, we have challenges on the uplink. So a first responder goes in the building. They can hear people talking to them. But when they respond, if there’s an emergency and they need to get out the building, no one can hear them outside the building. So there was a need to do uplink testing. Our scanning receivers are software-defined radios. So we were able to use a lot of the same technology for the uplink testing as we’re using for downlink, built the computer interface and now we have a product that potentially could be installed at a one-for-one for every base station for P25 networks. So in the markets that we’re in, there’s a lot of interest. I think we have 8 or 9 trials going on already, and we just launched the product in Q3, and we do expect to see revenue this quarter. And then, as the rest of the country catches up on the codes, I think we’ll be in a good position to sell product there as well.
Operator: [Operator Instructions] There appear to be no further questions in queue. I would like to turn the floor back over to David for any closing remarks.
David Neumann: Thank you, Holly. Thank you all for joining us this afternoon. Our team has done an excellent job of supporting our customers, and I appreciate their efforts. So I want to thank them all. We’ll continue to support our customers. We continue to provide the products that they require. And I’d like to wish everyone a great afternoon. So thank you again.
Operator: Thank you for joining us today for PCTEL’s third quarter 2022 earnings call. You may disconnect your lines.